Operator: Welcome to Select Comfort’s Q1 2014 Earnings Conference Call. (Operator Instructions) Today’s conference call is being recorded. If anyone has any objections, you may disconnect at this time. And now I would like to introduce Mr. Dave Schwantes, Senior Director of Investor Relations. Thank you. You may begin.
Dave Schwantes - Senior Director, Investor Relations: Thank you. Good afternoon, and welcome to the Select Comfort Corporation first quarter 2014 earnings conference call. Thank you for joining us. I am Dave Schwantes, Senior Director of Investor Relations. With me today are Shelly Ibach, our President and CEO and David Callen, our new Senior Vice President and CFO. Since David only joined our company last week, Shelly will be handling the comments today. This telephone conference is being recorded and will be available on our website at sleepnumber.com. Please refer to the details in our news release to access the replay. Please also refer to our news release for a reconciliation of certain non-GAAP financial measures included in the news release or that maybe discussed on this call. We acknowledge that markets are closed tomorrow and we apologize for any inconvenience that may cause you. Management will be available for investor calls this evening and all day tomorrow. The primary purpose of this call is to discuss the results of the fiscal period just ended. However, our commentary and responses to your questions may include certain forward-looking statements. These forward-looking statements are subject to a number of risks and uncertainties outlined in our earnings news release and discussed in some detail in our Annual Report on Form 10-K and other periodic filings with the SEC. The company’s actual future results may vary materially. I will now turn the call over to Shelly for her comments.
Shelly Ibach - President and Chief Executive Officer: Thanks, Dave. Good afternoon everyone and thank you for joining our first quarter earnings call. First, I would like to welcome our new CFO, David Callen. His financial and leadership experience at a vertically integrated company like Ethan Allen will be advantageous to us as we advance our strategic plans. I am also pleased to announce that Patricia Dirks has joined the Sleep Number team from Target Corporation to lead our human capital efforts. We are excited to have these two experienced business partners round out our strong senior management team. Our first quarter performance was consistent with our expectations in the outlook provided on our February call. As previously communicated, we expect full year 2014 EPS to be consistent with the prior year. We also indicated that expenses in investments associated with the most significant new product and marketing advancements in the company’s history would impact earnings in the first half of this year. These actions combined with our market development initiatives and systems infrastructure investments position the company for long-term profitable growth, as we strengthen our most important competitive advantages, proprietary products, exclusive distribution and end-to-end customer experience. I will start with a high level financial overview before providing an update on our business initiatives. Our net sales grew 7% to $276 million with EPS of $0.31. Comparable store sales increased 2% versus prior year. Company-controlled channel sales grew 9% comprised of an 8% increase in ASPs and 1% from mattress unit growth. On the February call, I highlighted our three strategic growth drivers, which includes product innovation, marketing effectiveness and local market development. I will begin with product innovation. As we discussed over the past year, a critical lynchpin of our strategy has been to invest in the product innovation and technology that deliver meaningful fleet benefits to the consumer. We expect these proprietary products to increase demand for our brands, accelerate growth and ultimately create value for all stakeholders. Our investment in products and advertising in the first half of this year have begun to produce results as seen with our 8% ASP growth this quarter on top of a 14% ASP growth in Q1 of last year. During the quarter, we continued to strengthen our value equation with breakthrough technology at both the high end and opening price points of our product portfolio. We expect these actions to increase brand awareness and consideration with the broader consumer base. An example that provides clear competitive differentiation in the marketplace is our award winning Sleep Number x12 bed with Sleep IQ technology. We launched this product innovation in February in nine pilot markets after unveiling that in January at the International Consumer Electronics Show. As a reminder the x12 bed integrates several technologies with our core DualAir technology for a simple communication platform that tracks and monitors your sleep without the need for any wearable devices, communicates how you slept via your personal Sleep IQ score and shows what support and comfort adjustments you can make to your Sleep Number setting in your daily routine to improve your sleep. The x12 bed also incorporates a partner snore feature that raises your partner’s head to temporarily relieve common mild snoring, a universal remote and simple voice commands that offer effortless control, a timer feature that returns you to your favorite massage or sleeping position and turns off the light and under bed lighting that softly illuminates the pathway in the dark. We have already taken the next steps to deploy several of the benefit driven features across our broader product portfolio. In March, we introduced our proprietary Sleep IQ technology as an option on all of our Sleep Number beds in nine pilot markets. Sleep IQ technology is a breakthrough evolution of our trademark commitment to improving the lives of our customers by providing individualized comforts. It places us on a leading edge of consumer trends by empowering increasingly data driven consumers with the ability to know and act upon information about their sleep in a simple and intuitive manner. In addition to the Sleep IQ advancements during the quarter we have a number of national product launches in late February including the all new classic series with increased comfort and support features to strengthen our opening price points which start at $999. A new FlexFit adjustable base series with features such as the Partner Snore technology, we also added an opening price point FlexFit base with head only adjustability for $1199. Another proprietary innovation that is strengthening consumer value is our new patented mattress design called the FlexTop which is now available across our entire line. This design enables individuals to independently adjust the top half of their side of the bed, while still sleeping together on one mattress. This series of innovation illustrates how we are able to deploy aspects of x12 technologies across our product line to bring increased comfort and value to consumers. We are seeing increased FlexFit and FlexTop sales, which is reflected in our ASP growth of 8% over prior year. And we are encouraged by the consumer’s reaction to the new C series which we expect to contribute to unit growth. As we have commented previously we expect the investments related to these innovations will take time to achieve scale in the current consumer environment, but early results are validating the extensive testing we conducted prior to bringing them to market. And this leads me to our next initiative improving marketing effectiveness and traffic. There are three strategies we are pursuing. Expanding our No Better Sleep campaign which is our largest and most tested creative in our history, optimizing the medium mix including shifting investments into more productive media and better aligning our media buy with our broader customer target for improved efficiencies. Our No Better Sleep campaign is an integrated campaign that features the introduction of our product innovation and consists of multiple TV commercials, radio, digital, print and out of home advertising. While still early key brand metrics showed improvements and we expect the No Better Sleep campaign to increase brand awareness, traffic and unit sales. Our marketing strategies also involve a series of tests related to overall mix and aligning our media buy with our broader target customer for improved efficiencies. We delivered 50 basis points of year-over-year improvement in media leverage on a slight increase in media spend in the quarter. We will broaden our testing in Q2 as we work toward our goal of leveraging media in the back half by over 100 basis points. Overall, we are pleased with the progress in the product innovation and marketing initiatives. We achieved our strongest sales in unit growth of the quarter in the month of March. Our other growth initiatives, local market development, also advanced as expected. Exclusive national distribution is an important competitive advantage and allows us to strengthen consumer value as we focus on innovations that deliver individualized fleet benefits. Our comp stores average more than $2.1 million in annual revenue on a trailing 12-month basis. The repositioning of our real estate portfolio during these past few years has been an important component of our growth strategy. One of our greatest opportunities is to continue to grow average annual sales per store to more than $3 million as we increased brand awareness and gain share in local markets. Today, 11% of our comp stores generate more than $3 million in annual revenue compared with 6% of our comp stores just two years ago. Our store growth over these past 12 months contributed 7 points of sales growth in the quarter, which was consistent with our plans. Store actions over the past 12 months have included 114 new relocated or remodeled stores. As expected, these improvements to our real estate portfolio resulted in approximately $6.6 million of incremental fixed retail store cost for the quarter or 130 basis points increase in selling expenses. In addition, variable store compensation increased by $3.5 million or approximately 100 basis points in the first quarter. These incremental selling expenses were in line with our 2014 plans. We expect selling expenses will begin to leverage once again in 2015. In summary, we have made good headway on our three strategy growth initiatives and we look forward to updating you on these initiatives again after the second quarter. On the February call, we discussed our expectations that a challenging consumer environment would continue through 2014. This was compounded during the first quarter by severe weather challenges, particularly in February. Most important to us was the impact on our customers, many of whom were disappointed when home delivery commitments could not met as scheduled. The impact was primarily in the Northeast and Midwest, which caused us to shorten store hours, close stores and reschedule home deliveries. This in turn pressured our supply chain and drove higher logistics and customer service cost. Our teams have worked tirelessly to ensure that rescheduled customers were taking care of quickly, but nonetheless, we did not meet our expectations regarding our customer experience. Our challenges were instructive and are driving improvements. Now, let me provide some additional detail about the first quarter financials. Our gross margin rate for the quarter was 62%, the 130 basis point decline compared to the prior year was primarily due to the impact of more generous return policies implemented in the second quarter of last year. As a reminder, we implemented the 100-night sleep guarantee, because it was the right thing to do for our customers and it removed the potential barrier to purchase. The impact of the change in return policies will fully anniversary in the third quarter. Operating expenses were consistent with our plans for the quarter and included the following. Selling and marketing expenses compared to the first quarter of last year were 270 basis points higher as a percent of net sales. This included 230 basis points of incremental selling cost discussed earlier. Marketing cost increased 40 basis points over the prior year primarily due to production cost associated with our new advertising campaign, which were partially offset by 50 basis points of media leverage. Our remaining operating expenses grew 40 basis points as a percent of net sales compared to the prior year. This increase includes incentive compensation costs that are an important component of annual variable compensation for employees across our organization. G&A in the quarter also included a $1.2 million stock-based compensation benefit related to changes in our estimated forfeiture rates. As noted in our press release, capital expenditures during the quarter were $16.7 million and depreciation and amortization was $9.2 million. We continue to expect full year capital expenditures to be $70 million to $80 million. These expenditures are prioritized on our growth strategy with approximately one half related to systems infrastructure, one-third on local market development and the remainder in support of product innovation of other projects. Our full year depreciation and amortization is still expected to be approximately $43 million. Our balance sheet continued to be healthy and strong enabling us to self-fund our growth. At the end of the quarter, our cash and securities balance was $143 million. As you model the second quarter, our seasonally lowest sales period, we ask that you consider some additional granularity included. We plan to launch a new digital platform for our website. It is designed to improve our customer’s online experience with a faster search engine and more efficient navigation. As planned, this will add incremental depreciation expense of approximately $500,000 to the quarter. Our second quarter gross profit rate is expected to be similar to the 62% in the first quarter, including the impact of a more generous return policy and cost related to new product introductions. As planned, new product launch cost will add approximately $2 million to Q2 expenses compared to prior year, most of which will be reflected in sales and marketing expenses on our P&L. Our initiative and performance are on track with our plans and we are encouraged by the consumer response to our innovations. We remain confident in achieving our mid to high single-digit revenue growth outlook for 2014. We continue to expect positive sales growth each quarter accelerating in the back half of the year, including the benefit of 2 points of sales growth for the 53rd week. We anticipate the mix consumer environment to continue and slower sales growth in the first half. This combined with incremental cost to support our initiatives will challenge our near-term bottom line. As a result, we continue to expect EPS to be roughly flat this year compared to 2013. We expect our strategic initiatives and related investments to strengthen our competitive advantages while delivering increased profitability and returns for our shareholders in 2015 and beyond. Thank you for your attention. And we now welcome your questions. Jenny, would you please open the line for questions?
Operator: Thank you. (Operator Instructions) And our first question comes from Mr. Peter Keith, Piper Jaffray. Sir, your line is open.
Jon Berg - Piper Jaffray: Thank you. Actually, this is Jon Berg on for Peter Keith. Thanks a lot for taking our questions. Based on our pricing work, it looks like you have taken up prices really across the bedding line, but I guess this is a little bit surprising to us just given that it appears that your comp units appear to be down on a year-over-year basis. Are you comfortable with your units per store continuing to trend down even though you are taking price up?
Shelly Ibach: Pricing is related to our ASP and we had an ASP growth of 8% in the quarter and that was on top of a 14% growth last year first quarter. The comp units, you are right, we had a 1% unit comp in the quarter, Jon and so that would translate to the comp units being down. Our initiatives of course are focused on improving unit growth as well as ASP growth. And that’s what we expect from our new media and marketing initiatives along with the product innovation.
Jon Berg - Piper Jaffray: Okay, that’s really helpful, Shelly. And looking at the beds, they look great by the way, too, but just thinking about those initiatives and kind of how they play out throughout this year, I mean, is there a quarter where you can really maybe point us to where you expect to see some kind of inflection in the comp units?
Shelly Ibach: As I stated we just launched our new product innovations at the end of February and advanced our advertising campaign in early March, focused on those product innovations and we had our strongest month in both sales and units in the month of March. And we look forward to continuing to move forward with these initiatives and giving you an update after the second quarter.
Jon Berg - Piper Jaffray: Okay, thank you. And then just one last quick one, just forgetting about the extra week you have got in Q4, I guess how do you view the rest of the year from a comp comparison standpoint what quarter do you think you may have the most favorable comparison?
Shelly Ibach: From a sales perspective we have been focused on 13 week trend and so one of our learning from last year with some of the volatility that we have been seeing is that year-over-year compare may not layout exactly as you would expect it to and I think the first quarter is probably a great example of that where none of us expected the tremendous amount of store closings that we had in the month of February and that would have been our easiest compare and in fact with all the unexpected weather implications that became our tougher month of the quarter. We see that heavily tied to the unexpected weather implications, so building off our 13 week trend we expected business to progress each quarter as the year unfolds with both the combination of our initiatives and the 53rd week.
Jon Berg - Piper Jaffray: Okay, great. Thanks a lot and good luck on the rest of the year.
Shelly Ibach: Thanks, Jon.
Operator: And next we have Mr. John Baugh with Stifel. Your line is open.
John Baugh - Stifel: Thank you and good afternoon. I have got several questions. I wonder if we could just start with a couple of balance sheet items inventories they were up not a lot invested I know in inventories, but they were up significantly year-over-year I think I calculated 44% and they were up 10% sequentially is there anything going on there Shelly?
Shelly Ibach: Yes, the inventory increase is of course the normal actions of our stores, but it’s also heavily tied to the product set. And our turns continued to be very healthy and this is more of a timing issue with the product innovation sets and the backlog.
John Baugh - Stifel: Okay. And likewise on payables they were significantly down year-over-year almost $17 million was that a timing incident or any changes in terms up there with any customers?
Shelly Ibach: That was related to a timing…
David Callen: So John, the biggest thing there is really just the timing of payments. This is Dave. So nothing really major there. A lot of this is where our payable cycles cuts off at the end of the quarter, so nothing real major difference.
John Baugh - Stifel: And welcome Dave, thank you. Customer prepayments up 15% year-over-year that certainly implies that March was particularly strong as you commented, is that weather or is that the impact of the new product and marketing maybe both anyway to (decipher)?
Shelly Ibach: Great question, John. This is where it’s difficult to tease out the individual variables some of it could be related to the weather recovery what I will share with you is we saw consistency, nice strong performance throughout the month and we did see a strong correlation with our brand metrics and our new advertisings with the product innovations.
John Baugh - Stifel: Thank you. And then you opened 17 stores and closed 14 that’s a lot of action, is that just timing or should we think that you are going to get a little more aggressive with the off-mall openings and mall closings?
Shelly Ibach: It was consistent with what our plan was John and this is part of our real estate strategy where we have been improving our real estate and executing many remodels as you can tell by the number of store actions of 114 from the past year yet only a net increase of about 30 stores. So we’ve been reallocating many locations and that would involve a close and open. Now when we reallocate within a mall that remain a common store, but when we move outside of a mall would be a close and open.
John Baugh - Stifel: Okay. So is there anyway to think Shelly about a gross number for the year in terms of openings or moving to a different mall I guess would be included in that as well off-mall, but is there anyway to think about a gross number?
Shelly Ibach: Yes. We expect between 460 and 470 stores by year end.
John Baugh - Stifel: Okay. But is there anyway that’s a net number of closures. Is there anyway to get ahead around how many new ones are included in that net result?
Shelly Ibach: Sure, 50 to 60.
John Baugh - Stifel: Right. Thank you. And my final question is just I noticed in the 10-K that your sales people and/or support sales in terms of head count was down 3% year-over-year and your store count was up 7%. I was just curious is there any change in your staffing thoughts and/or any changes in the compensation methodology for sales people? Thank you.
Dave Schwantes: Hi, John. This is actually Dave Schwantes not Dave Callen so just for the record. But so actually I think John the data point that you’re speaking to in the 10-K that we disclosed on head count is actually up 2% in terms of the store personnel and versus you mentioned the growth in store. So it was a little bit lower. I think we did have a little bit lower on average head count per store at the end of the year versus the prior year but it was consistent with our overall plan. So it was down on a head comp per store but it actually was up 2% year-over-year in terms of the total headcount.
John Baugh - Stifel: And if you changed your compensation methodology at all?
Shelly Ibach: No, it really tied more to being efficient with our dollars as we went into fourth quarter and holding on adding headcount.
John Baugh - Stifel: Thank you, and good luck.
Shelly Ibach: Thank you.
Operator: And our next question comes from Brad Thomas, KeyBanc Capital. Sir your line is open.
Brad Thomas - KeyBanc Capital: Hey great thanks. Good afternoon Shelly, good afternoon Dave. Just wanted to ask a few questions first on some of the line items of the model for this year? I think in the – at the fourth quarter call there had been guidance for the gross margin for the year to be flat to up. Is that still what you would expect Shelly?
Shelly Ibach: Yes, hi Brad. We will have a better read on this certainly after second quarter, but for second quarter we expect 62 similar to Q1 probably in the range of 62% to 63% for the year, again, one of the better indications of how the new product innovations are mixing as we get through second quarter.
Brad Thomas - KeyBanc Capital: Okay. And then in terms of G&A I think the guidance before had been $80 million for the year. Is that a number you’re still thinking of?
Shelly Ibach: Yes, still consistent with that number.
Brad Thomas - KeyBanc Capital: Okay. And I think you all had quantified about $7 million of incremental expense in the first half. Is that something you’re still looking for and give us s sense at how far we’re through that $7 million?
Shelly Ibach: Yes, it was 7 - $6 million in Q1 and $2 million in Q2.
Brad Thomas - KeyBanc Capital: Okay, great. And then just the last high level question, someone else touched on this earlier but I think in a refresh of the CE line you’ve raised the price on the C3 and the C4 you’re kind of two of your three lowest price models. And so just in light of the fact that tickets have been still strong for you but the units haven’t been as strong. Maybe could you talk about what your opportunities are to maybe close more sales at those lower price points? Can you push on the promotional lever a little bit faster despite the fact that the list price is higher, how you’re thinking about customers, is they’re a little more sensitive with that price?
Shelly Ibach: Right. Well I am glad you brought this question out, this is exactly right. We’re strengthening our value equation across the entire line while introducing the X12 at the high-end and bringing a lot of focus to the brand by a broader consumer base, in fact, the target that we have been striving to reach. We are also opening up the funnel at the low end with a much stronger C series than we have ever had before who are really excited about the increased support and comfort that these new beds provide. And we do see this in combination with our new advertising focused on introducing our all new C series as a method to be able to drive incremental units. And we will look forward to giving you an update on that in second quarter, but certainly, our results so far although early are consistent with our testing and with our beliefs.
Brad Thomas - KeyBanc Capital: Good. Alright, well thank you so much and best of luck.
Shelly Ibach: Thanks.
Operator: And our next question comes from Mr. Budd Bugatch, Raymond James. Sir, your line is open.
Bobby Griffin - Raymond James: Hi, this is Bobby actually filling in for Budd. Thank you for taking my questions today.
Shelly Ibach: Hi, Bobby.
Bobby Griffin - Raymond James: Thank you. My first question is about the new stores, were they all with all the net new stores off-mall stores?
Shelly Ibach: We had 1 mall and 16 non-malls, Bobby.
Bobby Griffin - Raymond James: Okay, thank you. And then can maybe you provide a little bit of color on the performance of the non-mall versus mall performance and whether or not the new off-mall stores are tracking to the efficiency you have seen out of them so far that you expect?
Shelly Ibach: The answer to the latter is yes. And the performance with mall and non-mall, we continue to be pleased with both. Our average revenue on an annual basis is about the same with the two formats. And we do see the occupancy expense favorability in our non-malls, which we expect to be around 15%.
Bobby Griffin - Raymond James: So the profitability for the non-mall stores is probably trending a little bit better than mall performance?
Shelly Ibach: Yes, that’s correct.
Bobby Griffin - Raymond James: Alright. And then real quick just on a modeling question, I couldn’t quite get the ad spending for the year, I am showing roughly around $38 million ad spending in Q1 of last year about 14.7% of sales, what exactly were you referencing for ad spending in this quarter?
Shelly Ibach: Yes, I did not say the specific ad spend in the quarter. I mentioned that we were up slightly. Our spend was $39 million.
Bobby Griffin - Raymond James: Okay, I appreciate it. That’s it from my questions and best of luck going forward.
Shelly Ibach: Yes, thanks Bobby.
Operator: Our next question comes from Mr. Todd Schwartzman, Sidoti. Sir, your line is open.
Todd Schwartzman - Sidoti: Hi, Shelly. Hi, Dave. What is the – regarding the X12, what is the timeline for gauging the success of X12 and for considering rolling out beyond those initial nine test markets?
Shelly Ibach: Yes, Todd. We are – so, first of all, our pilot is giving us the information that we were looking for and is primarily designed to help us with operational and selling prospects. And overall, we are really happy with what we are experiencing with the X12 and the role it’s playing for the brand and certainly the markets it’s in. And we will continue to read the performance and respond operationally and be moving forward here in the coming months.
Todd Schwartzman - Sidoti: Got it.
Shelly Ibach: Not probably avoid answering those very specific timing just competitively.
Todd Schwartzman - Sidoti: Sure, sure. It makes sense. Have you heard any mention in a little while of accessory attachment rates? How have the accessory attachment rates historically varied by price point of the bed that was purchased along with these other items? And was there any discernible trend on that front in the first quarter?
Shelly Ibach: Yes, as far as the bedding collection attach rates with the various beds across the line, we continue to see fair amount of consistencies. And that’s really driven by our selling process. So it’s not necessarily attached to the specific models.
Todd Schwartzman - Sidoti: But do you track by price point to just kind of gauge whether there is a more linear versus exponential increase as you go up the line – the bed line by price point?
Shelly Ibach: Yes, we do. We track by price point as well as by customer.
Todd Schwartzman - Sidoti: Right. So you just don’t disclose those rates by link?
Shelly Ibach: No, we don’t share that granularity.
Todd Schwartzman - Sidoti: Okay. And it is – is it typically what you would expect?
Shelly Ibach: As far as the specific attaches by models?
Todd Schwartzman - Sidoti: Yes, with the higher end – with the higher end consumer, the buyer of the more luxury product, if you will, attaching more to the purchase than the more entry level price points?
Shelly Ibach: Yes, it does vary based on consumer need. I think you probably see the difference a little bit more with the C series compared to the rest of the line.
Todd Schwartzman - Sidoti: Okay. And Shelly, you talked about the change in the return policy to anniversary in the third quarter, I just want to make sure I am clear on this. Was the change put in place last third quarter or second quarter?
Shelly Ibach: It was at the end of second quarter, actually very late in April, but from an accrual perspective that really took shape as of third quarter. So, you really need to – when you are doing your model look at the full second quarter before we annualize.
Todd Schwartzman - Sidoti: Got it. Okay, thank you very much.
Shelly Ibach: You’re welcome. Thank you, Todd.
Operator: And our next question comes from Ms. Joan Storms, Wedbush Securities. Ma’am, Your line is open.
Joan Storms - Wedbush Securities: Thank you. Good afternoon guys.
Shelly Ibach: Hi, Joan.
Joan Storms - Wedbush Securities: So, Shelly, if you could just clarify us just the controlled – the company controlled comp was up 2% or are you saying it was up 9%? I was trying to figure out the ASPs were up 8%, unit growth or units up 1%?
David Callen: Yes, hi Joan. This is Dave. So, what Shelly…
Joan Storms - Wedbush Securities: I don’t want you to clarify.
David Callen: That’s fine, that’s fine. What Shelly mentioned is that the – our total net sales growth was actually up 7% for the quarter, that’s the total number, but if you look just at our company-owned channels, they were up 9%. And that 9% was made up of 8% from ASP and 1% from unit growth.
Joan Storms - Wedbush Securities: I see what you are saying. Okay, so like the wholesale part was negative, so that’s what brought the total down?
David Callen: And it was dilutive to the overall growth rate.
Joan Storms - Wedbush Securities: Okay, got it. Well, what’s going on with that channel? It’s down a little bit and is it just a shift in the QVC stuff or?
Shelly Ibach: Yes. I mean, first of all, it’s small, it’s less than – it’s about 4% of our total. And we do have fluctuations between quarters and that’s what transpired here.
Joan Storms - Wedbush Securities: Okay. And then I don’t know if you can comment at all any update on the DualTemp, it seems like there still should be the customer brand awareness for that product is still very low?
Shelly Ibach: Yes, you are right it’s still a significant opportunity. And in this quarter, Joan, we were very focused on our new advertising campaigns and did not focus on the DualTemp. So it was a smaller contributing factor because of the lack of advertising for it in the quarter, but we continue to be really pleased with the product. And our customers are absolutely thrilled on this product. So it’s a great opportunity for us as we move forward.
Joan Storms - Wedbush Securities: It cannot be incorporated into the new ad campaign in any form or fashion?
Shelly Ibach: Yes, absolutely.
Joan Storms - Wedbush Securities: Okay. So as far as new products, there is a lot going on in the first quarter and that’s – I am assuming that’s sort of the bulk of what you are going to be seeing and then focusing on to the rest of the year?
Shelly Ibach: Right.
Joan Storms - Wedbush Securities: Okay. And on the marketing effectiveness, could you, I don’t know if we have talked about it the last quarter or two, but you are marketing your 13 markets that you have targeted, where are we in that process? And are those markets still making progress towards your goals?
Shelly Ibach: Yes, the 13 market aggressive growth strategy. So where we are is the first original four markets have now moved into the fourth year. So they have surpassed their three-year aggressive growth strategy and we experienced a doubling of profit in those markets and just a little less than doubling the market share which was one of our targeted goals and also surpass our revenue expectations. We are very pleased with the strategy beyond those four we have five other markets in various stages of the strategy. We did launch one new market this year.
Joan Storms - Wedbush Securities: Okay. Next year you will be launching the rest of it?
Shelly Ibach: (indiscernible) and then we have the four left over the next few years. Yes. And we are certainly dealing with some big markets right now.
Joan Storms - Wedbush Securities: Okay. And then just one quick last question on the media mix that you talked about what did you do different sort of year-over-year I mean I know last year the first quarter was really tough because the switch to the single agency and things are really out of the line but what are the new things that you are seeing good response to?
Shelly Ibach: Right now in the first quarter we are in testing with – so we have a core basic formula that we are executing tie to the formula then we have a numerous tests going on to be able to more efficiently reach our broader target and also moving media to more productive media. And so testing and then in the second quarter we will advance those tests. We had obviously February was a typical month for us to read with all the weather impact and that was when and we had the bulk of our media spend so that did not help our specificity on the test, but we also did not expect the (50) basis points media leverage in the quarter. So combination of the tests along with the new creative and then you think about the fact that February was the month we spent the most of our media and it really wasn’t able to come fruition, it’s encouraging, it’s encouraging to see where our tests are at.
Joan Storms - Wedbush Securities: I guess that’s it for now. Thank you very much.
Shelly Ibach: Great, thank you Joan.
Operator: Our next question comes from Mr. Josh Borstein, Longbow Research. Sir your line is open.
Josh Borstein - Longbow Research: Hi, Shelly and David and welcome David. Just a few questions for you, on the you did mention that March was one of your better months or the best months in the quarter, you also mentioned on the last call that January you will back up to mid-single digit. So was the March same store comp stronger than the January comp that you had mentioned was up mid-single digits?
Shelly Ibach: That’s right Josh.
Josh Borstein - Longbow Research: Okay, so that just implies that February, which I think you mentioned was actually an easy comp just because of the weather issues though it will turn out to be a sour month because of that?
Shelly Ibach: Yes, that’s correct although we were still up in February.
Josh Borstein - Longbow Research: Well, I see, okay. Alright that’s helpful. Thank you for that. And then just on the Sleep IQ that you are currently testing in nine markets and now offering separately from the x12, any early read on how that’s performing or what the list price is and when you may chose to roll that out to a larger audience?
Shelly Ibach: Yes, the list price Josh is $300 with a Sleep Number bed, so that’s an attached item for us and it’s in the same nine pilot markets as the x12 and same learnings going on around our selling process and operational and again very pleased with the technology and the consumer response.
Josh Borstein - Longbow Research: And is that something that a person with an existing Sleep Number bed can get or is that something that they buy with their new bed?
Shelly Ibach: Well, I will tell you Josh my Sleep IQ score was at 78 last night and my bed is a few years old.
Josh Borstein - Longbow Research: And were you happy with that 78 score that…?
Shelly Ibach: I was. Yes, I like those 70s and 80s are really good.
Josh Borstein - Longbow Research: And then just a last one for me back to the DualTemp do you think there is a seasonality to that product where people who buy it prefer more for the cooling part or for the heating part?
Shelly Ibach: Yes, we do believe there is – with everything we had going on this first quarter, it’s part of the reason why we wanted to be able to read our other advertising more clearly. And so we backed off a little bit while we drove some of the other advertising, but it’s also still very early for us with this product, we really like what we see overall.
Joan Storms - Wedbush Securities: (indiscernible). And actually just one more on the extra cost you discussed and that you had mentioned because of the weather issue. Can you quantify that at all?
Shelly Ibach: Yes. So it’s about $425,000 in the quarter.
Joan Storms - Wedbush Securities: Terrific. I appreciate it. Thanks and good luck.
Shelly Ibach: Thank you.
Operator: And our next question comes from Mr. Keith Hughes, SunTrust. Sir your line is open.
Keith Hughes - SunTrust: Thank you. You had mentioned earlier getting your store plans you will be at about 460 stores. At the end of the year you are getting close to the roughly 475, 480 peak given 2007 for the recession. Are you planning to go above that number, is that a ceiling number, what are your views longer term there?
Shelly Ibach: Yes, longer term our views are probably somewhere around 500 to 550 range.
Keith Hughes - SunTrust: And can you give me an update in terms of non-mall stores where we were at the end of the quarter?
Shelly Ibach: At the end of Q1 for non-malls we’re at 152.
Keith Hughes - SunTrust: During that you told that it’s 16 to the quarter. Is that correct?
Shelly Ibach: Yes, so it’s about 34%.
Keith Hughes - SunTrust: 34%, okay. Given how is one question earlier in the call I talked about that the week same-store unit numbers that you’ve seen.
Shelly Ibach: Yes.
Keith Hughes - SunTrust: Would you consider a strategy where you top out on the stores to just accelerate the move out of the mall, it seems to be really doing wonders with ticket and we might see a change of how unit perform per store?
Shelly Ibach: Yes. When we compare our non-malls and malls we have a similar revenue performance overall which is highly correlated with our unit performance. So we’re very pleased with many of our mall store performance. Clearly our number one opportunity is brand awareness and also driving traffic and risk brand awareness comes traffic and market share and that’s what we’re focused on is improving that marketing effectiveness to be able to drive traffic and increase the brand awareness and we’re confident that unit increases will come with it. We liked the flexibility that having both the successful mall and non-mall store delivers and also the average revenue we see the continued growth in average revenue in both mall and non-mall. We’re not seeing ceiling in that and we’re seeing some strong expressions in both formats and it gives us good confidence and continuing to progress with both.
Keith Hughes - SunTrust: I am sorry. And your answer is you see a lot more revenue per store on the non-mall than the mall. Is that correct?
Shelly Ibach: No Keith it’s about the same. So very yes it’s the same. The average revenue on an annual basis is the same. Leads and conversion are different by format but times out to be the same average revenue.
Keith Hughes - SunTrust: Okay. Thank you.
Shelly Ibach: Jenny, are there additional call or questions?
Operator: Our next question comes from Ms. Jessica Schoen, Nomura Securities. Your line is open.
Jessica Schoen - Nomura Securities: Hi, good afternoon.
Shelly Ibach: Hi, how are you?
David Callen: Hi, Jessica.
Jessica Schoen - Nomura Securities: My question is on the 8% ASP increase. I was wondering if you could talk about how each mix shift pricing increases and the attached rates of both adjustable basis or the bedding collection were all driving that 8% growth?
Shelly Ibach: Yes, the growth was primarily two things. It would be pricing associated with the product innovation and the other half would be primarily associated with attached for the quarter of the FlexFit and FlexTop.
Jessica Schoen - Nomura Securities: Okay. And then would you say there is anything to call out as far as the mix and kind of the velocity of sales at the different pricing segments within your line?
Shelly Ibach: Yes, it’s too early with the product innovation with just a few weeks and I think we’ll have a lot more clarity on that this next quarter. And then February of course played in a way that would be unexpected just because we had too many store closures, etcetera that you know I am sure it probably impacted our ability to drive through additional units with our close-outs. So, probably some suppression there.
Jessica Schoen - Nomura Securities: Makes sense. And then you just said I think 34% of your store base was off-mall. Can you give us, remind us or give us an update as far as where you are in the full repositioning of the real estate portfolio, how much is there to go both on relocation and remodeling?
Shelly Ibach: Sure, great. It’s a great question. By the end of the year we expect to be probably around 40% with our non-mall and from a remodel and reposition I think we’re at 75% by the end of the year, 80% a good strong 80% so the majority in the portfolio will be complete.
Jessica Schoen - Nomura Securities: Great. Thank you so much for taking my question.
Shelly Ibach: You bet.
Operator: (Operator Instructions) And we have a question from Mr. Rob Longnecker, Jovetree. Sir your line is open.
Rob Longnecker - Jovetree: I want to ask you guys about the balance sheet. You guys have been cash flow positive for at least four years now and you’ve been sitting on this kind of like $100 million and plus balance of cash ever since. And I am wondering at some point are you guys going to start returning some of that capital to shareholders?
Shelly Ibach: Yes. Our cash strategy is focused on first and foremost managing the business to remain above our stated $125 million. And..
Rob Longnecker - Jovetree: Right. But – could you justify that $125 million because that just seems – it seems like that’s designed for like the (indiscernible) have been falling on current conditions?
Shelly Ibach: Yes, the $125 million is based of our learnings over a multiple number of years with the company with – it’s a business that leverages tremendously and can also work the other way. So the $125 million has been our threshold from an operating perspective and the cash strategy second priority is focused on prioritizing investments toward our long-term growth strategy which we expect to deliver a strong return to our shareholders and finally as share repurchase program and we continue to execute that share repurchase.
Rob Longnecker - Jovetree: When I look back and look at your historical cash flow is it looks like the worst quarter you’ve ever had was like a negative $10 million or $15 million a quarter announced back in 2007. So it just seems like you guys are way too conservative with what you think your cash balance should be?
Shelly Ibach: Thank you for your feedback on that. We went through some very challenging cash years in 2008 and 2009. And we today remain debt free and that’s how we spend operating these last few years and the $125 million is also puts us in a position that we’re able to continue to invest in our business when we have a suppressed top-line and last year will be a great example of that where we did not deliver the sales we had expected. But we are working on such important initiatives to be able to support our long-term growth strategy and it allowed us to be able to continue to invest in our product innovation and our local market development in a way that is positioning us today to be able to outpace growth expectations in the future and that’s the strategy behind the cash balance. We’re also positioned for opportunities and we seized a couple of those last year, one small acquisition and we appreciate the position to be able in this time of building our long-term growth to be able to seize those opportunities.
Rob Longnecker - Jovetree: You might want to take a little bit more about your shareholders because dividend or material buyback really be appreciated?
Shelly Ibach: And we’re very focused on our shareholders and that is why we brought forth innovations that we just did to be able to support the long-term viability of the business and increase shareholder value over time. But we do appreciate your feedback and thank you very much for sharing your thoughts on this.
Rob Longnecker - Jovetree: Thank you.
Shelly Ibach: Thank you.
Operator: And our next question comes from Mr. Josh Borstein, Longbow Research. Sir, your line is open.
Josh Borstein - Longbow Research: Just a quick follow-up on one of the questions I had earlier on the January comp, just trying to get a feel for the cadence again in the quarter, January was up mid single-digits, March you said was better than that and February was still positive. How you get to that 2% comp? Is it just that Presidents Day is so meaningful that it boosts the importance of February in the quarter?
Shelly Ibach: Yes. I mean, February with the Presidents event, the majority of the month is definitely very meaningful. The other consideration on this Josh is the backlog and just the timing of backlog versus orders.
Josh Borstein - Longbow Research: Okay. Could you explain how the backlog affects the comp?
Shelly Ibach: It would be timing of where the revenue recognized by quarter. So, the numbers that I am sharing, we shared about January the mid single-digit comp reversed to actual orders placed as well as March. So there is always a little timing difference between the months. And it’s more apparent, obviously with February being such a big month tied to Presidents. But you – this specificity of understanding the orders in the comps will give you the shape of the quarter.
Josh Borstein - Longbow Research: Okay, great. Thank you.
Shelly Ibach: Yes.
Operator: And there are no further questions on the phone at this time.
Shelly Ibach - President and Chief Executive Officer: Great, thank you.
Dave Schwantes - Senior Director, Investor Relations: Thank you again for joining us today. We look forward to discussing our second quarter 2014 performance with you in mid-July.